Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Dorel Industries Third Quarter 2024 Results Conference Call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded today, November 14, 2024. I would now like to turn the call over to Martin Schwartz, President and CEO. Please go ahead, sir.
Martin Schwartz: Okay. Thank you. Good afternoon. And thank you for joining us for Dorel’s third quarter earnings call for the period ended September 30th. With me are Jeffrey Schwartz, CFO; Frank Rana, Chief Strategy Officer; and Jayson Kwasnik, VP of Finance. We will take your questions following our comments. Again, all figures mentioned during this call are in U.S. dollars. Dorel Juvenile earnings again exceeded last year’s comparative quarter, driven by an organic revenue increase of over 9%. Impressively, this revenue growth was in all three of our regions, North America, Europe and International. We had several significant customer events in the quarter and the reception to our new product launches in all regions has been very strong, with key deliveries beginning in the quarter. Conversely, Dorel Home faced significant challenges, resulting in a 14% decline in revenue compared to the same period last year. We initiated substantial cost reductions in the quarter as we continue to right-size the business to current reality. A look now at our two segments in more detail. In Juvenile, our quarter-over-quarter earnings improvement continues. Our organic revenue growth and better gross margins is allowing us to deliver improved earnings and cash flow. Our second quarter product launches, as detailed in our last conference call, continue to fuel the segments of results and demand outstripped availability in many cases, so we are very optimistic about the fourth quarter and beyond, as customer anticipation and demand remain strong. The marquee event in the quarter was the annual Juvenile Products Trade Show held in Cologne, Germany. Our layout showcased Dorel’s global footprint, and while the majority of customers attending are European, the breadth of our product portfolio across the globe was on display. All of our divisions attended and we had customers from around the world visit our location. Europe, in particular, introduced the Maxi-Cosi Emerald 360 Pro car seat, featuring SlideTech. This seat is the first premium all-in-one car seat in Europe designed for 12 years of comfort and protection. This innovative car seat targets the fastest-growing category in the market, offering a unique and competitive solution that combines premium quality, styling and safety for all ages, and is set to provide a strong and long-term competitive advantage for Maxi-Cosi and its customers. In North America, Maxi-Cosi, Cosco Kids and Safety 1st were recognized at The Bump 2024 Editorial Awards. These awards celebrate the top pregnancy, postpartum and baby products of the year, evaluated by real parents and industry experts. This recognition underscores Dorel Juvenile’s commitment to innovation and quality. We want also to recognize Safety 1st with celebrating its 40th anniversary this quarter. As evidenced by The Bump Awards, Safety 1st, as well as Cosco Kids, remain an important part of our portfolio. Safety 1st partnered with CAMP, a family experience company, to offer a free day of fun at CAMP stores across the U.S. This event hosted well over 2,000 children and parents nationwide. It featured immersive show parties, hand-on craft activities, exclusive giveaways and a showcase of Safety 1st’s innovative products. Influencers amplified the event’s reach through social media, contributing to a substantial brand impact for Safety 1st. A post-event study revealed that participants were 87% more likely to purchase Safety 1st products, 91% more likely to feel the brand aligned with its mission to safety and exploration. I want to congratulate our teams across the segments on their success and the way in which we are delivering our message of best-in-class safety, comfort and innovation to the market. If we look back just a couple of years, our Juvenile business was quite different. We were losing money and market share. I’m very proud to say that with our many new senior executives and their local teams, Juvenile has gained market share and become the leading brand in many areas and is profitable. Now turning to Dorel Home. Sorry to say the situation is not like Juvenile. The industry and Dorel Home are still finding it challenging. Although overall revenues declined, we observed positive momentum in indoor seating, TV stands and step stools within our Home category. However, this was insufficient to counterbalance declines in other categories. We are driving sales through promotional pricing, which when combined with lower production efficiencies led to gross margins being lower than anticipated. From a cash perspective, we reduced inventories again this quarter, positively contributing to our cash flow. Following the end of the quarter, we attended the Annual High Point Furniture Show in North Carolina. Our new product designs were very well received at the market, which will help position Dorel for the future. Our Cosco Home & Office division continues to perform well and showcase several new innovative products in High Point, which should continue to drive growth for that division. Despite this, the furniture industry continues to face challenges due to the lack of a significant increase in demand, exemplified by the recent cancellation of the Annual European Furniture Show in Cologne, scheduled for January. We are right-sizing the business and initiated the previously announced closure of the RTA manufacturing facility in Tiffin, Ohio, transferring production to Cornwall, Ontario. This move is expected to result in one highly efficient and profitable facility for domestic RTA furniture production, starting in 2025. We are committed to finding more cost reductions within the segment and expect to take further actions by the end of the year and into next year. While the return to profitability is taking longer than desired, the actions we are undertaking in 2024 position us for improved earnings in the future. As we look ahead, Dorel Juvenile remains committed to driving sustainable growth through strategic investments in product innovation, market expansion and operational efficiency. We anticipate continued strong performance in our key markets, supported by our robust e-commerce channels and successful partnerships with key suppliers and retailers. Despite potential challenges from currency fluctuation and container costs, we are confident in our ability to navigate these headwinds and deliver sequential earnings improvement in the fourth quarter. We at Dorel Home are on a path to reduce its cost and match its footprint to current revenue expectations, which are substantially lower than our peak years of 2020 and 2021. We have expanded our restructuring plan announced at the end of 2023 with the consolidation of our RTA facilities in the third quarter and we’ll be initiating other aggressive actions going forward to right-size the business. We acknowledge that we are operating within a challenging industry, but we believe we can operate profitably with our dual-sourcing business model of efficient domestic production coupled with overseas imports. With our recent success at major brick-and-mortar retailers and traditional leadership in e-commerce, we will focus on key profitable categories and targeted promotional activities. We remain confident in our ability to adapt to market conditions and deliver value to our shareholders. I will now ask Jeffrey to review the financials.
Jeffrey Schwartz: Thank you, Martin. I’ll try and go through this quickly and get into some of the more strategic issues. For the third quarter, we are overall revenue decreased by $5.4 million, just around 1.5%. The organic revenue decline was actually less than 1% through removing the variations on foreign exchange rates. The revenue and organic revenue decline was all in Dorel Home and was partially offset by improvements in the Juvenile. The gross profit for the quarter decreased by $400,000 or less than 1% compared to last year. Gross margin for the third quarter actually increased 20 basis points to 18.5% from 18.3%, including restructuring costs. It actually went from 18.3% last year to 18.7%. Again, increased significantly in the Juvenile, which was brought down by the issues in the home furnishing. One of the issues, we had an impairment loss on a trade account receivable with a bankruptcy by one of the home furnishing U.S. customers in the third quarter, $2.1 million. That remains -- that number’s comparable to last year’s third quarter. So we have another issue. The operating loss for Dorel was $11.1 million, compared to $3.7 million last year, excluding restructuring charge the operating loss increased by $5.5 million to $9.2 million from the $3.7 million last year. If we move over to look at the Juvenile business, revenue increased by $16 million or 7.8% to $222 million this year. The organic revenue actually went up by $19.2 million. The improvements in revenue and organic revenue was in most markets so we’re pretty proud of that. The big three are the U.S., Europe and Brazil. We’ve had some big increases as well in some of our other smaller markets. The only area of concern right now continues to be Chile, which we’re dealing with. Gross profit for the quarter increased 14% compared to last year. The gross margin in the quarter was 28.3%, an improvement of 160 basis points from the 26.7%. The increase in gross profit and gross margin was driven by higher sales volumes, the lower cost, better mix, the foreign exchange rate that was positive to us as well. The operating profits of $7.2 million during the quarter, compared to 3.2 million last year. If we look -- if we exclude restructuring costs it improved by $4.8 million to adjusted profit of $7.9 million. If we switch over to Home, not such a good story. Revenues declined $21.6 million or 14%. The decline was mainly from online sales, brick-and-mortar sales were relatively flat compared to last year and even sequentially. Again, current environment is very tough, is very competitive and demand continues to be a big issue in this area. Particularly on the lower end, there is some better demand at the higher end of the furniture industry. Unfortunately, we don’t really play a lot in that area. Gross profit for the quarter decreased $8.2 million or 74% compared to last year. Gross margin was down to 2.1% representing a decline of 500 basis points. The decrease is -- in gross margin is mainly due to lower efficiencies, lower volumes while we still maintain the large footprint that we have, as well as due to increased promotional incentives as we clear out our older products and also the reduced online business where we generally have higher margins. In addition to that, there was an accelerated depreciation and inventory write-down related to the closure of the Tiffin, Ohio. I mentioned that we had a trade account receivable adjustments due to the bankruptcy of one of our customers. From an operating loss standpoint, Dorel Home operating losses increased by $9.6 million to a number of $13.2 million, excluding restructuring costs the number is $12 million. The only other issue I do want to address is a reclassification of our debt from long-term to current on the statement. The reason for that is November 1st, we amended our ABL facility and our term loan facility to facilitate compliance with covenants. As a result, we became compliant with everything with the amended September 30th covenant. However, given that the amendments were done on November 1st, they were classified as current in our statement. However, as of right now, they are no longer current, back to the launch of that area. With that, let’s open up for questions. I guess, Martin, please.
Martin Schwartz: Okay. So, Operator -- okay. Please open up the lines for questions. And I will ask whoever asked the question to limit it to two in the first round.
Operator: Okay. Thank you. [Operator Instructions] Today’s first question comes from Derek Lessard with TD Cowen. Please go ahead.
Derek Lessard: Yeah. Good afternoon, everybody. I just want to hit maybe mostly on the Home side. It looks -- congrats on Juvenile. It looks like the profitability and sales are coming back nicely in that business. But on Home, do you have any sense as to what’s driving like this incredible weakness in Home? Is it oversupply? Is it the consumer? I mean, we’re now four years removed from COVID at this point?
Jeffrey Schwartz: Well, we’re four years removed from the beginning of COVID. But I think there’s still an overhang where people bought a lot of furniture and really did. That was a real spike. So a lot of -- what did that mean? So that means that, first off, you’ve got a lot of new furniture in the homes. Second, there was a lot of product in the channels, although I think today it’s pretty safe to assume that most of the COVID product is out of the channels. And third, it put a lot of new people into the furniture business. And what’s happening now is demand is down because people don’t need as much furniture. Housing starts when housing is down. Inflation is up. So people, and again, keep in mind, we’re at the lower end to the mid-point of the furniture market. So people are more concerned about the cost of groceries and food and fuel and all of the everyday items, as you saw, from the last election, that was the number one issue. It’s just caused a real lackluster industry. And nothing to me shows it more than when the massive Cologne, Germany trade show in January is canceled for this year. The industry’s just not doing a good job. What does that mean for Dorel? We cannot and will not continue to operate the way we’re operating today or in the last nine months, let’s put it that way. We’ve made changes already. But we can’t do that. We can’t afford it. We cannot wait for demand to come back. We -- our previous strategy in the last 12 months to 18 months has been to reduce costs and do everything we can to get our sales back up. Going forward, we are going to assume for planning purposes that our sales do not necessarily increase, and we need to be profitable and have a cash flow business based on today’s volume. And that’s a lot of work to get to right-sizing or restructuring, I use the word restructuring as much the right-sizing the business to be able to do that. And it starts with closing one of the factories that we already announced the Tiffin facility. By the way, in Q3, we still had a different facility operating at a significantly underutilized pace. So, costs were much higher in Q3 because we were in the process of closing it down. But there’s other things to do. And the commitment that we have today is to put a plan together to be effective next year. Unlikely to start in January, but we need to get to a point where we’re making money and we’re making cash as well next year. And that’s what we’re working on and we hope to come to market hopefully by the end of this year, if not early, early January, where we can talk about the plan and how we’re going to get there. But it is going to be a simpler version. We have some great product launches at great margins. We probably have too many things we’re trying to do that’s dragging down the averages, and of course, all of the overheads are matched with all of that. We’ve got some great people and we want to sort of move forward with the best of our business and just make it into a smaller, more profitable business. And we’re optimistic that we’re going to get there. We’re just -- we’re not at a point where we can disclose all the details yet, unfortunately.
Derek Lessard: Okay. Well, thanks for some of that color, Jeffrey. A bit of a segue into my other -- my next question was in terms of the categories that were struggling the most and might not be viable. Can you just sort of -- could you give us some color on some of the more…
Jeffrey Schwartz: I’d rather…
Derek Lessard: … troublesome?
Jeffrey Schwartz: Yeah. I’d rather not talk about which category we want to discontinue. We haven’t finally decided. And again, I’m not sure I want to go to the market at this point, because if we have inventories, we want to make sure they’re good inventories. But we’re looking at everything and which ones carry good margins. And some of them are just so competitive today that we find that, competition from Asia is just making them not sustainable. So we’re picking and choosing the best of what we have. We are optimistic. Martin talked about the show. I know we talk about shows a lot, but we got some great feedback on some great new products that we’ve shown. And I think some of the product we’re designing today is as good as anything we’ve done in the last three years, four years. And we want to get back into that where we think, again, newer, more exciting stuff is going to carry higher sales potential from better margins and that’s the focus. But we got to get this footprint shrunk because we can’t make money when we have the footprint that we have today.
Derek Lessard: Okay. And then maybe one last one for me. Are there any other customers or retailers that might be struggling or are in financial distress that you could talk to?
Jeffrey Schwartz: I mean, there’s a lot of people that are struggling in this industry. There’s no question. I’m not aware. I mean, again, there might be smaller chains. It’s a struggling industry. But our biggest customers are still Walmart, Amazon, Target, Wayfair. These are our biggest four customers. So, I’m not worried about those customers per se. But yeah, it’s still a struggling industry. I am -- we keep hearing about competitors of ours that are closing or Chapter 11 or stuff like that. But it’s not our intention to get there. We have enough really good stuff in this business to make a really good business and it’s not tiny. We still are selling quite a bit of stuff. We just have to right-size the effort we put behind it and simplify it as well.
Derek Lessard: Okay. Thanks, everyone.
Operator: Thank you. The next question is from Nevan Yochim with BMO Capital Markets. Please go ahead.
Nevan Yochim: Thank you. Good afternoon, guys. Hoping we could just stay on the Home segment. If you’re able to comment on the health of the consumer, just wondering if you observed a sequential deterioration in Q3 relative to what you were seeing in Q2 and then any change in that consumer’s behavior into Q4 so far?
Jeffrey Schwartz: All I can say is just we keep waiting for it to come back. We keep waiting to see an acceleration. We’re just not seeing it. It’s a steady business. We did notice, and I think, we talked about all year, that the brick-and-mortar end seems to be much more stable than the online. The problem with brick-and-mortar or the -- I guess the difference -- the biggest difference from us and brick-and-mortar, is that you need to prepare your business months in advance. That’s always been the way brick-and-mortar works, right? So we know today we have new listings next year on the floors of some of our customers. We don’t have the orders today, but we know we’re going to have them in Q1, Q2, Q3, whatever it is. Online, the beauty of online used to be we can put something on tomorrow and it could start selling this week type of thing and it’s faster to get new stuff done. So, if we had a big online demand, we’d be able to be more confident in the speed that we can get our new stuff to market. But today the brick-and-mortar is just a steadier business. It’s easier to plan for. And that’s the area where we’re rebooking. It seems strange in today’s world that we’re talking about more business in brick-and-mortar, given what we went through in the last five years with online, but it is what it is right now.
Nevan Yochim: Yeah. Okay.
Jeffrey Schwartz: That’s the only comment I have on the customer in that area.
Nevan Yochim: And then just on the inventory in the Home segment, I guess, I was under the impression that inventory was relatively normalized. It sounds like you’re still selling through a little bit of older inventory that was higher priced. Where do you sit today? And is this inventory just in products that you’re looking to discontinue or do you sort of have excess inventory across the Home channel?
Jeffrey Schwartz: Okay. So, it’s a good question. So, let’s take the first part of it. No. I think what I said was that, that was a big feature of the COVID boom for us, but we are today no longer sitting on COVID inventory, right? So, that’s gone through the channel. I don’t believe many retailers or even competitors have much of that. Going forward, we will have items we discontinue, and that’s because we’re making a smaller go-forward line of products. We won’t be in every category we’re in. We are -- like I said, we’re judging it for margin, for volume, for all of those things. So, yes, we will have items that we discontinue. Going forward into next year, we’ll be much smaller. I hope to be able to address all of that when we talk about the changes that we’re going to make in our business. But for sure, 2025 will have significantly less, sort of I will call clear outs, but like, whatever that word is. I’ve got to be careful. I don’t want to step on a limelight there, but good that we don’t go forward with it anymore.
Nevan Yochim: Yeah. Okay. Fair enough. And so then I guess in the near-term, as you’re sort of thinking into Q4, using these promotions and maybe working through some of these items that are going to be discontinued, as well as the restructuring that’s ongoing in the Home segment, would you expect to see a sequential improvement in profitability in the Home segment in Q4 or would that be reserved for 2025?
Jeffrey Schwartz: It’s probably 2025 and you probably hit the nail on the head as to why. I mean, we’re going to continue to move through these goods, the faster, the better, right? We want to get into cash as soon as we can. And the second part is, again, inefficiencies as we move to more and more efficient models. I know we won’t be spending all the money in Q4 at Tiffin that we spent in Q3 because Tiffin’s gone. So that’s a positive there, but there’s other areas that we’re going to be winding down and because of that, we’ll get some inefficiency. So it’ll start in 2025, January will not be as good as Q4, but we -- that’s all part of our plan and we’re going to have all of that analyzed and hopefully, like I said, communicated to the market shortly. But one thing I can ensure, I ensure to everybody is that we are committed to getting this business to a positive run rate during, and I don’t have the date exactly, during 2025, because we don’t have a choice and it’s not a luxury that we can afford anymore to deal with hoping for a return to business, hoping for the market to come back. If it does, and we do our climate, we’ll make even more money. But right now, our focus is making money with the business that we have committed for 2025.
Nevan Yochim: I understood. And I’m just going to sneak one more quick one in here before I pass it over. More positively on the Juvenile segment, it’s nice to see the operating margin coming back. If these current trends continue, what do you expect to see your EBIT margins back into that historical mid-single-digit range next year?
Martin Schwartz: I hope so, because we’re actually planning and we’re working on getting beyond that. There’s a lot more to do, that’s I guess where our excitement lies, we’ve seen some great numbers this year, we’ve seen some good numbers, we hope to take them to much better numbers in the future and we have a pathway to get there, some of them are cost-related, there’s ability to take costs out, a lot of it’s product-related, market share-related. We’ve gained significant market share in car seats in Europe, we’ve gained market share in Europe, in U.S., certainly continue to gain market share in South America, primarily Brazil, we’ve got some great stuff coming through the pipeline for next year. A lot of what we did this year, we haven’t shipped in volume, so we talked about a great stroller that we introduced earlier in the year called the fame in Europe, it’s doing very well, but it’s been restricted by supply, we haven’t been able to get -- we haven’t matched demand yet. We’re hoping to -- I hope we actually never get to match demand, that’d be great, but more realistically, by Q4, we’ll be putting a lot of products into the market, and again, high price points, higher margins. In the U.S., we introduced the Kindred line of high-end Maxi-Cosi products, only got introduced in mid-October, so we’re only a few weeks in, very excited about it, it’s a product that’s pretty much sold at the high-end, the independent stores, there’s a few other places, but check it out, it’s all over Instagram and stuff like that. But it’s a real high-end look, very different, very excited about it, again, won’t have a material impact on 2024 numbers, but hopefully by 2025, and then there’s all the stuff we’re introducing in 2025. So really excited, this is the best I’ve felt about our business in many, many, many years, because not only is it great today, but we see all the past, and I think it’s great.
Nevan Yochim: Great, I appreciate that detail. Thanks, guys.
Martin Schwartz: You bet.
Operator: Thank you. The next question is a follow-up from Derek Lessard with TD Cowen. Please go ahead.
Derek Lessard: Hi, Jeffrey. I just wanted to just another question just to clear something up. You said you hope to get back to the market with more specific details around the plan in early 2025. You don’t report Q4…
Jeffrey Schwartz: Yeah.
Derek Lessard: … until March, so can we or can investors anticipate an update before that?
Jeffrey Schwartz: I would like to say, yeah, I believe so. I mean, I would want to do that because I believe it’s what we’re going to do and I know that overhanging a lot of fears that an investor would have is about if you don’t turn this business around and you let it go as it goes today, is it a viable company? And the answer would be no, we can’t afford to continue to lose big money every quarter. So I think it’s super important, and therefore, I think coming to the market and explaining what it is we’ve done and what the goals are and some timelines and all of that on the home furnishing side, I think that’s very important. So yeah.
Derek Lessard: Okay. Thanks, Jeffrey.
Operator: Thank you.
Jeffrey Schwartz: There’s one other issue I just want to address, but I didn’t get a question on it, and that’s our liquidity level. So we are very much aware that liquidity is an issue that is on the minds of everyone, including ourselves. We are in the process of looking to increase our liquidity. I know we’ve said we’ve done it before, but realistically, we can’t tell the market what we’re doing until it’s done, just from a disclosure standpoint. But we have numerous paths that we are currently working on and I’m not going to discuss them, but I’m going to tell you that we have levers to pull to increase our liquidity. We’re working on all of them at the same time. So I don’t think all of them are going to work, but I don’t need all of them to work to get us to the point where we have enough liquidity to operate properly. It is tied to not losing money at the home furnishing, so we need to get super cash flow positive next year and we need to increase some liquidity. And all of that is about getting to be able to get the value out of the Juvenile business that we think we’re going to get in the next, we’ll call it the short-term. It’s more than a year. But as you know, we are at some point looking to monetize that, but it’s not today. And we’re doing everything we can to make sure that business thrives and shareholders are rewarded.
Operator: Thank you. This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Schwartz for any closing remarks.
Martin Schwartz: Okay. I just want to thank all of you for joining us this afternoon and I wish you all very well. Thank you.
Operator: This concludes today’s conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.